Operator: Thank you for standing by, and welcome to the Employers Holdings, Inc. Third Quarter 2024 Earnings Conference Call. At this time, all participants are in listen-only mode. After the speakers' presentation, there will be a question-and-answer session. [Operator Instructions] As a reminder, today's program is being recorded. And now I'd like to introduce your host for today's program, Lori Brown, General Counsel. Please go ahead.
Lori Brown: Thank you, Jonathan. Good morning, and welcome everyone, to the third quarter 2024 earnings call for Employers. Today's call is being recorded and webcast from the Investors section of our website, where a replay will be available following the call. Statements made during this conference call that are not based on historical facts are considered forward-looking statements. These statements are made in reliance on the safe harbor provision of the Private Securities Litigation Reform Act of 1995. Although we believe the expectations expressed in our forward-looking statements are reasonable, risks and uncertainties could cause actual results to be materially different from our expectations, including the risks set forth in our filings with the Securities and Exchange Commission. All remarks made during the call are current only at the time of the call and will not be updated to reflect subsequent developments. The company also uses this website as a means of disclosing material nonpublic information and for complying with disclosure obligations under the securities -- sorry, under the SEC's Regulation FD. Some disclosures will be included in the Investors section of our website. Accordingly, investors should monitor that portion of our website in addition to following our press releases, SEC filings, public conference calls and webcasts. In our earnings press release and in our remarks or responses to questions, we may use non-GAAP financial measures. Reconciliations of these non-GAAP measures to our GAAP results are included in our financial supplement as an attachment to our earnings press release, our investor presentation and any other materials available in the Investors section on our website. And now I'll turn the call over to our Chief Executive Officer, Kathy Antonello.
Katherine Antonello: Thank you, Lori. And let me echo your words earlier with a warm welcome to everyone participating in today's call. Joining me today is Mike Paquette, our Chief Financial Officer. During the call, we will follow our typical agenda, where I will deliver my opening comments and then hand it over to Mike to provide the details on our financials. I'll close with a few additional thoughts and then we'll open it up for questions, comments and discussion. We are very pleased with Employers' third quarter results. As we saw year-over-year, net income per share increased by 124% and adjusted net income per share increased by 19%. The higher earned premiums, strong net investment income and continued net investment gains were the main drivers of the increases. Our strong operating results, coupled with the sharp decrease in interest rates experienced during the quarter, lifted each of our book value per share metrics to all-time highs. During the quarter, we continued to grow our new and renewal premiums while experiencing reductions in both premium audit pickup and audit accrual. Our current accident year loss and LAE ratio on voluntary business was 64%, slightly above the 63.3% we maintained throughout 2023 and consistent with that of 2022. As was the case in the third quarter of 2023, we did not recognize any prior year loss reserve development on our voluntary business because the whole actuarial study was not performed. We will evaluate our prior year reserves in more detail at year-end, when we routinely perform a full reserve study. Our ongoing initiatives to reduce our underwriting and general and administrative expense ratio continues to be effective. This quarter's ratio of 23.2% is down from 23.6% a year ago and is the second-lowest since 2018. The decrease was primarily the results of the Cerity integration plan we executed in the fourth quarter of 2023. With that, Mike will now provide a deeper dive into our financials, and then I will return to provide my closing remarks. Mike?
Michael Paquette: Thank you, Kathy. Gross premiums written were $181 million, a decrease of 8%. The decrease was primarily due to higher new and renewal business writings being more than offset by lower final audit premiums and endorsements. Net premiums earned were $187 million, an increase of 1%. Our losses and loss adjustment expenses were $118 million versus $115 million a year ago. And our loss and loss adjustment expense ratio, excluding the LPT, was 63.9% versus 63.2%. The increase in loss adjustment expenses was primarily due to higher earned premiums and a slightly higher current accident year loss and loss adjustment expense estimates. Commissions and expenses were $26 million versus $27 million a year ago, and our commission expense ratio was 14.1% versus 14.5%. The decrease in our commission expense ratio was primarily related to a decrease in anticipated 2024 agency incentives which are specific to individual contracts and vary with agency targets. Underwriting and general and administrative expenses were $43 million versus $44 million. And our underwriting and general expense ratio was 23.2% versus 23.6%. Our net investment income was $27 million for the quarter versus $26 million a year ago, an increase of 3%. The increase was primarily due to higher yields on our fixed maturity securities. When considering the $1 million of interest expense we incurred in the third quarter of 2023 through our Federal Home Loan Bank leveraged investment strategy which we unwound in the fourth quarter of 2023, our net investment income was up 7% year-over-year. Our fixed maturities currently have a duration of 4.2 and an average credit quality of A+. Our weighted average book yield was 4.4% at quarter end, which is up nicely from 4.1% a year ago. Our net income this quarter was favorably impacted by $10 million of net after-tax unrealized gains generated predominantly from equity securities and other investment holdings, both of which are reflected on our income statement; and our stockholders' equity was favorably impacted by $52 million of net after-tax unrealized gains generated from fixed maturity holdings which are reflected on our balance sheet. During the third quarter, we repurchased $7 million of our common stock at an average price of $45.27 per share. And thus far, we have repurchased an additional $1 million of our common stock in the fourth quarter at an average price of $47.45 per share. Our remaining share repurchase authority currently stands at $39 million. And yesterday, our Board of Directors declared a fourth quarter 2024 regular quarterly dividend of $0.30 per share. This dividend is payable on November 27 to stockholders of record on November 13. And now I'll turn it back to Kathy.
Katherine Antonello: Thank you, Mike. Our appetite expansion effort, which has led to profitable growth, continues to be a large contributor to the 7% increase in premium that we've achieved year-to-date, excluding adjustments from premium audit. Our loss ratios in these new segments continue to be in line or better than our traditional segments and we expect to further benefit from this strategy well into the future. And finally, we returned $15.1 million to our stockholders this quarter through a combination of share repurchases at an average price that was highly accretive to our adjusted book value per share and through regular quarterly dividends. And with that, operator, we will now take questions.
Operator: Certainly. [Operator Instructions] Our first question comes from the line of Mark Hughes from Truist Securities.
Mark Hughes: Yes, thank you. Good morning.
Katherine Antonello: Good morning, Mark.
Mark Hughes: Good morning. Your appetite expansion, the 7% year-to-date, I think that maybe it was a little bit less than the third quarter. What do you think the growth prospects are, just the pace of the appetite expansion? Has that sort of run its course and you need to take another look at the market and look for some new class codes? Or how should we think about that?
Katherine Antonello: Yes. So I don't think it's run its course. We are -- we have what we call our appetite working group, and they are still working and looking to find new class codes that fit in with who we are. And we continue to expand. In fact, we did expand towards the end of the third quarter, our appetite. At the same time, we also look to find class codes that are not performing to the extent that we feel like they should. And so at times, we pull back, too. But there's no intention at all to put to bed that strategy. And we continue to find places where we can grow profitably, and we will continue to do that into 2025 and beyond within -- until we can't find codes anymore that fit our appetite.
Mark Hughes: Yes. The audit premium in 3Q, it sounds like it decelerated a bit and maybe it's picked back up in October. Is there anything you've been able to put your finger on as to why you saw the lull in the period?
Katherine Antonello: We haven't been able to put our finger on anything specific, but we have some high-level things going on within the economy that we think may have contributed. I actually was looking at, the NCCI came out with the quarterly economics briefing yesterday. And one of the key themes or takeaways from that report was that the labor market slowed meaningfully over the summer and then it picked back up in September. And I found that to be very interesting and sort of synonymous with what we saw over the summer and now we're seeing in October. They also said that they expect more volatility in employment growth and some -- only modest hiring pace coming. So that was very similar to what we saw. But there is some volatility out there. It's a very, very difficult number to predict. But -- so as the audit premiums has been coming down, we've been decreasing our audit accrual. And as you know, that has an impact on net written premium, which is why we have started sharing the numbers with and without those adjustments.
Mark Hughes: Yes. Anything from your payroll partners around that similar lull of pace of new business? Anything to divine there?
Katherine Antonello: Haven't heard anything from the payroll partners on that front. I can say that our growth that we've seen continues to be widespread, whether it's coming from our independent agent channel, which is what we call our core channel. But we're also seeing tremendous growth on the digital side. One thing that I do want to point out is our policies in force during the third quarter of 2024 increased by more than they did in the first or second quarter of 2024. So the growth that we saw in the third quarter came from smaller policy size bands. And that was one of the contributors to the fact that our growth, while we did grow, wasn't quite as strong in the third quarter.
Mark Hughes: Yes. What's your prognostication for what the NCCI will come up with in terms of aggregate loss costs? When we think about 2025, how do you think that will trend?
Katherine Antonello: No, I think from what I've seen so far, the filings that are going to be effective 1/1/25 and forward. All of the bureaus continue to show downward pressure on loss costs, and it's driven by the same things that we've seen in the past, decreases in frequency and very moderate changes in severity. So I really -- I don't have a crystal ball in terms of what will happen beyond what they have already filed, but I'm not seeing too much of a change there in terms of what their filing. Now I will point out that, in every state except Florida, we can adjust our prices to what we feel is appropriate for our book of business, and we continue to do that.
Mark Hughes: Yes, thank you very much.
Katherine Antonello: All right. Thank you, Mark.
Operator: Thank you. [Operator Instructions] And I'm not showing any further questions at this time. I'd like to hand the program back to Kathy Antonello for any further remarks.
Katherine Antonello: Okay. Thank you all for joining us this morning, and I look forward to meeting with you again in February to discuss our year-end results.
Operator: Thank you, ladies and gentlemen, for your participation in today's conference. This does conclude the program. You may now disconnect. Good day.